Operator: Good afternoon, ladies and gentlemen, and welcome to the Cathay General Bancorp Fourth Quarter 2014 Earnings Conference Call. My name is Chris, and I will be your conference moderator for today. At this time, all participants are in listen-only mode. Following the prepared remarks, there will be a question-and-answer session. [Operator Instructions] Today's call is being recorded and will be available for replay at www.cathaygeneralbancorp.com. And now, I would like to turn the call over to Monica Chen, Investor Relations for Cathay General Bancorp. Ma'am, you may proceed.
Monica Chen: Thank you, Chris, and good afternoon. Here to discuss the financial results today are Mr. Dunson Cheng, our Chairman of the Board, President and Chief Executive Officer; and Mr. Heng Chen, our Executive Vice President and Chief Financial Officer. Before we begin, we wish to remind you that the speakers of this call may make forward-looking statements within the meaning of the applicable provisions of the Private Securities Litigation Reform Act of 1995 concerning future results and events, and these statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are further described in the company's annual report on Form 10-K for the year ended December 31, 2013, at Item 1A in particular, and in other reports and filings with the Securities and Exchange Commission from time to time. As such, we caution you not to place undue reliance on such forward-looking statements which speak only as of the date of this presentation. We undertake no obligation to update any forward-looking statements or to publicly announce any revision of any forward-looking statements to reflect future developments or events, except as required by law. We would also like to inform you that Cathay will be filing a Form S-4 registration statement that will include perspectives of Cathay in the Proxy Statement of Asia Bancshares regarding the merger we announced this morning. You are urged to read this document when it comes available, because it will contain important information about the merger. In addition, Cathay and Asia Bancshares, and their directors and officers maybe deemed to be participating in the solicitation of practice in favor of the proposed merger. You can find information about Cathay directors and executive officers in our Proxy Statement filed with the SEC. You may obtain a copy of these documents when they become available through the SEC's Web site, Cathay's Web site, or by requesting a copy from our Investor Relations department. This afternoon, Cathay General Bancorp issued an earnings release outlining its fourth quarter 2014 results. To obtain a copy, please visit our Web site at www.cathaygeneralbancorp.com. After comments by management today, we will open up this call for questions. I will now turn the call over to our Chairman of the Board, President and CEO, Mr. Dunson Cheng.
Dunson Cheng: Thank you, Monica, and good afternoon. Welcome to our 2014 fourth quarter earnings conference call. This morning before the market opened, we announced the merger of Asia Bancshares of New York into our company. Asia Bank as a subsidiary of Bancshare was founded in 1984 in Flushing, New York. Its mission same as Cathay was and is to serve the Asian emigrant community of New York. We also share the same philosophy in running our banks. In 30 years, Asia Bank has assembled a loyal customer base and has established a solid reputation. As of September 2014, it's total assets of 498 million, total loans of 490 million, and total deposits of 450 million. It has three branches in New York City, and one in Rockville, Maryland, which is 18 miles north of Washington D.C. The Asian population around Washington D.C. has grown 60% since year 2000. Our experience with New York region has been largely positive. In 15 years, we have put together nine branches in New York City with a deposit base of 0.92 billion and a loan book of 1.84 billion. During the 2008 recession, New York's loan portfolio has performed better, which must lower losses than the rest of our loan portfolio. In 2014, New York was our fastest growing region for long with a year-over-year growth of 23%. This merger will bring the number of branches in New York City to 12 with the deposit base of 1.34 billion and total loans of 2.26 billion. It will also open up a new marketplace for Cathay Bank in Maryland and Washington D.C., and increase the number of states that Cathay has operations in to nine. Equally important, this merger will bring a group of experienced and dedicated officers and staff to Cathay. We are especially pleased that Asia Bank Chairman, President, and Deputy President will join our advisory board to facilitate the integration of the two banks and solidify customer retention. We expect this merger to be completed during the second quarter of 2015 after receiving regulatory and Asia Bancshares shareholders approvals. We believe this merger will strengthen our business in New York. Our CFO, Mr. Heng Chen will speak to the financials of this merger later on. Returning to our first quarter results, we report net income of 35.6 million, an 11.5 increase when compared to net income available to common shareholders of 31.9 million for the fourth quarter of 2013. Diluted earnings per share increased 10% to $0.44 per share for the fourth quarter of 2014 compared to $0.40 per share of the same quarter a year ago. Our net loan growth slowed during the fourth quarter to 56 million on 0.06% of quarter-over-quarter. CRE loans grew by 72 million by 72 million, while residential mortgages increased by 53 million. The pace of new loans book continue to be good, while we experienced an unusually large loan pay-offs and pay down of over 300 million in the quarter. For the twelve months ended December 31, 2014, our loans increased 830 million or 10.3% compared to an increase of 650 million or 8.8% of twelve months ended December 31, 2013. The main drivers of our annual increases came from CRE loans, which increased 453 million in residential mortgages, which grew by 250 million, while C&I loans grew by 84 million, and construction loans by 77 million. We expect that our loan growth in 2015, excluding the acquisition of Asia Bank will be over 10%. The fourth quarter 2014, our total deposits increased by 89 million to $8.78 billion. For the twelve months ended December 31, 2014, the increase in deposits was 802 million which represent a 10.1 increase from December 31, 2013. Our core deposits increased by 14.5 million or 656 million from December 2013. In the fourth quarter, our efficiency ratio was 22.96%, an improvement of 42.96% and improvement over the third quarter of 44.51%, and an improvement over the fourth quarter of 2013 of 44.65%. With that, I will turn the floor over to our Executive Vice President and CFO, Heng Chen to discuss the fourth quarter financials in more details.
Heng Chen: Thank you, Dunson, and good afternoon everyone. Before we discuss our fourth quarter results I want to give the summary of the agreement of merger with Asia Bancshares. The purchase price is expected to be 126 million subject to adjustment, which -- and so, the purchase price will be approximately 1.6 times the expected closing book value, and it's a mix of approximately 45% to 55% stock and the remainder in cash. We expect that this acquisition will be accretive by 2% to 3% to annual earnings, excluding any one-time merger and restructuring charges. This acquisition is expected to reduce our risk-based capital ratios by approximately 40 basis points. We expect the tangible book value dilution to be earned back in slightly over four years. For the fourth quarter we announced net income of 35.6 million or $0.44 per share. Our net interest margin was 3.36 in the fourth quarter of 2014 compared to 3.31% in the third quarter 2014, and compared to 3.30% for the fourth quarter of 2013. In the fourth and third quarters of 2014, interest recoveries and prepayment penalties added four basis points and nine [ph] basis points respectively to the net interest margin. 100 million of structured repurchase agreements at 3.5% matured in November, 2014, adding two basis points to the fourth quarter net interest margin. An additional 50 million of structured repurchase agreements at 3.5% matured on January 8, 2015, and together with the fourth quarter impact of 100 million of fourth quarter maturities or add additional four basis points to the net interest margin for the first quarter of 2015. Non–interest income during the fourth quarter of 2014 was 8.1 million. Non-interest expenses increased by 0.8 million to 41.1 million in the fourth quarter of 2014 compared to 40.3 million in the same quarter a year ago. The increase was mainly due to increases in marketing expenses of $0.7 million in the fourth quarter and increase of $0.5 in OREO expense is partially offset by a decrease and $0.7 million in salaries and employee benefit expense in 2014. The effective tax rate for the fourth quarter of 2014 was 37.1%. For 2015, as a result of additional purchases of low income housing and renewable energy tax credits, we expect that our effective tax rate for 2015 will be between 33.5% and 32%. The additional pre-tax amortization expense for these investments will be between 7.5 million and 10 million for the full year 2015. At December 31, 2014, our Tier 1 leverage capital ratio increased to 12.99%, our Tier 1 risk-based capital ratio increased to 14.97%, and our total risk-based capital ratio increased to 16.22% as compared to September 30, 2014. All ratios domestically exceeded well-capitalized minimum ratios under all the regulatory guidelines. At December 31, 2014, our Tier 1 common risk-based capital ratio was 13.74%. Net charge-offs for the fourth quarter of 2014 were 5.8 million or 0.07% of average loans compared to net recoveries of $5.2 million in the third quarter 2014 and charge-off at 8.3 million the same quarter a year ago. The substantial majority of the fourth quarter 2014 charge-offs were against specific reserves established in prior quarters for two impaired loans. Our loan loss reversal was 2 million for the fourth quarter 2014 compared to reversal of 5.1 million for the third quarter of 2014 and zero for the fourth quarter of 2013. Our non-accrual loans, excluding non-accrual loans held for sale increased 7.5% or 4.9 million during the fourth quarter to 70.2 million or 0.79% of period-end loans as compared to the third quarter of 2014.
Dunson Cheng: Thank you, Heng. We will now proceed to the question-and-answer portion of the call.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Julianna Balicka with KBW. You may proceed
Julianna Balicka: Good afternoon.
Dunson Cheng: Good afternoon.
Heng Chen: Hi, Julianna.
Julianna Balicka: Hi. I just wanted to ask a few questions on the deal. For the acquisition, are there any cost saves or any branch consolidation or any synergies in branch expansion that you are planning on?
Heng Chen: Julianna, this is Heng Chen. I think we will be covering that in the S-4 perspective, but it's an in-market deal, so we would expect that to be relatively high in the order of 40% plus, but we are not commenting on branch closures or anything specific beyond that.
Julianna Balicka: Very good, that makes sense. And then in terms of the loan growth that you are looking for next year, the 10% organic loan growth, could you talk a little bit more about the key drivers of that? Is that C&I, is that CRE based? And what are the residential mortgage growth assumptions within that 10%?
Dunson Cheng: Julianna, this is Dunson Cheng. Yes, the expectation of 10% is based on the current pipeline that we have, which is over a billion dollar, and roughly [inaudible] I would say above 60% to 70% CRE, and 30% or so C&I loans, and we expect our residential mortgages to do a little better than what we have been seeing in 2014, which is roughly $14 million per quarter.
Julianna Balicka: Very good, that … 
Heng Chen: Especially with the lower interest rates, we are seeing increase in application volume. Although, we are not offering 30-year mortgages except through Freddie Mac.
Julianna Balicka: Got it, and one quick housekeeping question on the deal, if I may; do you have any preliminary sense in the fair value marks on the Asia Bank's portfolio?
Heng Chen: Yes. Generally their loans are well priced, particularly in our niche in New York. Based on review, most of them are floating rate that are tied to prime. Generally at least one, if not higher than that over prime, so we would -- their credit quality is excellent. So we would think that one under the purchase accounting we would reverse their loan loss reserve which is, I am going from memory about, $6 million or so. That would be reversed out, and then, because they have excellent quality loans we don't think there is going to be a negative credit mark. And then, nor do we think -- because they are floating rate loans nor do we think we will be booking at higher than par. They do have some appreciative value in the real estate that they own, that they have owned for many years. And so there is going to be some purchase accounting write-up of that, which would reduce goodwill, but we are going to wait until the S-4 to eliminate the goodwill, the purchase accounting pro forma, if it's required.
Julianna Balicka: Got it, okay. Thank you very, very much. I'll step back.
Heng Chen: Thank you.
Operator: Our next question comes from the line of Aaron Deer with Sandler O'Neill & Partners. You may proceed.
Aaron Deer: Hi, good afternoon, everyone.
Dunson Cheng: Hi, Aaron.
Heng Chen: Hi, Aaron.
Aaron Deer: Dunson, Heng, congratulations on the deal.
Dunson Cheng: Thank you.
Heng Chen: Thank you. It's been a long time.
Aaron Deer: That's been a while, following-up on Julianna's question about the purchase accounting, I think you mentioned at the beginning of your comments, but I didn't catch the value, did you give what the impact to book value was at the deal?
Heng Chen: No. We just said that the tangible book value would be earned back over four years so and that we said that the accretion will be 2% to 3%. So, just using that guidance if it's $0.05 a share accretion to EPS, that would be in a four-year payback that would be $0.20 dilution to book value or slightly over that. This is just going by the math.
Aaron Deer: Right, I understand. Okay. It sounded like you're pretty confident with respect to the loan outlook for 2015. I'm just curious, here in the fourth quarter it slowed, growth slowed down quite a bit. Were there any decisions that you made conscious because of what was -- where rates were going or if it was just normal seasonal slowdown of the holidays? What caused things to not get booked here in the fourth quarter?
Dunson Cheng: Yes. Aaron, this is Dunson Cheng. When you look at the pay downs on the fourth quarter, the thing that jumped out to us is that our C&I loan portfolio we have closed $200 million pay downs, and our -- this $200 million roughly I would say, above $60 million is because of trade lines with different banks. We set up trade lines for banks to facilitate their payment of the [inaudible] and all that. So, those are mostly very low interest rate loan, lines of credit. So we saw roughly $60 million pay down of that, and then there are some CD loans that we pay off, and also we are seeing a seasonably higher pay down in the fourth quarter, which would come in the first quarter of every year. And that maybe related to the huge increase in the third quarter of last year that we have seen over 250 million. So I think things are maybe -- we'll borrow some of the loans both in third quarter and now it's been paid off in the fourth. So we feel that those are trade-related seasonal adjusted type of situation, and it should not affect what our projection for 2015.
Aaron Deer: Okay, that's good color, Dunson. I appreciate it. I'll get back in the queue with my remaining questions.
Operator: Our next question comes from the line of Joe Morford with RBC Capital Markets. You may proceed.
Joe Morford: Thanks. Good afternoon, and congratulations as well.
Dunson Cheng: Thank you, Joe.
Heng Chen: Thank you, Joe.
Joe Morford: I have -- first question was on the expense side; did the decline in the compensation costs this quarter largely reflect the full run rate of the savings from the core systems conversion earlier this year, or is there still more to come in the first quarter. And just in general, how do you feel about that run rate going into 2015?
Dunson Cheng: Let me answer, Joe, your first question first. The savings from our core conversion, I would guess it's about almost 80% completed by the fourth quarter. So there might be 20% left in 2015.
Heng Chen: And then, Joe I think there is a couple of just discreet items that relate to the fourth quarter; first, we had higher bonus accruals of about 600,000 in the third quarter compared to the fourth. We also had more vacation taken in the fourth quarter because of the holidays. And then lastly, every 18 months or so, we do a cost study on our loan origination cost, and we found that we have added more manpower or that we were understating the amount of manpower dedicated to loans, to originating loans. So that was about a little over a million in Q4 compared to Q3. And so that million that relates to the deferred loan origination cost that will stay with us each quarter in 2015. And they will come back as the amortization of deferred loan cost and it will show up in the net interest income line.
Joe Morford: Okay, that's helpful. Then I guess the second question was -- if you could Dunson talk a little bit more about the operation you have in New York and specifically the loan portfolio there. What kind of growth rates have you been seeing in New York in the last couple of years and with Asia Bank now, what kind of growth rates do you see for that portfolio going forward?
Dunson Cheng: Joe, in 2010 which is December 2010, outstanding in the New York region was 900 million. And by December of last year, which is four years; that has doubled to 1.8 billion. So you can see that the loan growth in our New York region has been quite good. In 2015, with the addition of Asia Bank it would complement what we are doing in New York because Asia Bank is about 500 million and their loan book is 450 million or so. So they are concentrating more loans in the range of $0.5 [ph] million to maybe 2 million. And I think that is a good diversification of our loan book in New York City. And our experience has been with our previous acquisition of Great Eastern Bank in New York that there are a lot of -- there are customers that have outgrown of the bank because of lending limit, and we were able to recapture those customers that may have gone to other banks. So I believe that Asia Bank will contribute to the growth of our New York portfolio.
Joe Morford: That's great. I appreciate the color.
Dunson Cheng: Thank you.
Heng Chen: Thank you.
Operator: Our next question comes from the line of Gary Tenner with D.A. Davidson. You may proceed.
Gary Tenner: Thanks, good afternoon. A couple of questions; regarding the structured repos, do you have anything else maturing over the course of 2014?
Dunson Cheng: Of '15 … 
Gary Tenner: I'm sorry, '15.
Dunson Cheng: That's 50 million matured, and then the rest of the maturities are I believe in 2016 and '17 and '18.
Gary Tenner: Okay. And then, Heng, you had just mentioned the recalculation of the loan origination cost. Of the $1 million reduction in salary expense in the fourth quarter that came out of that, how much of that actually flowed through net interest income in the fourth quarter?
Heng Chen: Not that much, because much of that relates to commercial real estate loans. So if they have five-year returns they would amortize that over five years.
Gary Tenner: Okay. So I mean that represents certainly a short-term boost to earnings until it sort of leveled out, is that a fair way to look at it?
Heng Chen: Yes.
Gary Tenner: Yes.
Heng Chen: I mean we are just following that. It's updating of estimate that were required to make every so often under GAAP.
Gary Tenner: Right, and the $1 million was not a catch-up for the full year of 2014, but it was specific to the fourth quarter, correct? So it should impact 2015 by $1 million per quarter?
Heng Chen: Well, yes, I mean that level of net expense will just continue into 2015 plus regular salary increases.
Gary Tenner: Right, okay. All right, thanks very much.
Heng Chen: Yes.
Operator: Our next question comes from the line of Lana Chan with BMO Capital Markets. You may proceed.
Lana Chan: Thanks, good afternoon.
Heng Chen: Hi, Lana.
Lana Chan: If you could talk about the recent decline in longer term rates and the flattening of the yield curve, how does that, if any, change your outlook on the margins, specifically with loan yields as well as potentially investing in the securities portfolio?
Heng Chen: Yes, I guess one over the last 18 months ever since I believe, May of 2013 when the Fed started indicating interest rates which start to rise, for fixed rate loans, the great majority of our borrowers have gone into the rate lock program, where they put up a 1% fee to commit to a 60-day term for a given interest rate, and that's non-refundable. So we have a large pipeline of loans that were rate lock in December when interest rates were high, and we expect almost all of those to fund at the rate lock rate. And then, the short-term rates, I mean the interest rates; their swings, I would characterize as relatively violent. So I think our customers, if they need to close the escrow or close the purchase, they don't have a long window to say, "Well, I'm going to wait for the five-year to drop by 25 basis points," they just go and rate lock suck [ph]. I think in terms of fixed rate CRE loans, it's relatively -- it will have a small impact, but hopefully interest rates will go up later on this quarter. And then, the other side, at one time we had almost 800 million or 900 million or 30-year fixed rate mortgages and when interest rates start to increase we wanted to lower our exposure. So, during January we were able to sell about 275 million of 30 year-fixed rate mortgages at a negligible loss -- yes, securities, I'm sorry. And so our current 30-year-fixed rate exposure in terms of securities is down to 150 million, and we have about 250 million at the same time we're buying 50 year MBS. So we've taken this opportunity to shed a lot of interest rate risk out of our balance sheet. I mean those are the two impacts that we see.
Lana Chan: Just a follow-up, so the securities repositioning earlier in this year, any -- wouldn't that impact on the yield?
Heng Chen: Slightly, probably about 60 basis points; and we're Re going to over time put more, buy more 15-year MBSs to compensate that. And also, we don't view out investment portfolio as a big source of interest income. We're using that to fund loans to the extent possible. So there is going to be some natural shrinkage in our securities portfolio as we go into loans.
Lana Chan: Okay. My second question was on the capital. You said that with Asia Bank, the capital would go down about 40 basis points. Can you talk about you still have excess capital to deploy, what the priorities are?
Heng Chen: Yes, I think one; the first priority is that we want to try to have 10% or more loan growth in 2015. We would want to try to have a dividend increase hopefully in the middle of 2015, our long-term goals to pay out about 30% of the prior year's earnings. We also over the last 18 months, we've issued through stock option exercises, and the best thing we issued about I believe about 1.5 million shares. So, once our stress testing is submitted and reviewed by the regulators, we would seek to buy back those shares that were issued for stock option, hopefully, in the third quarter. So, those – and then the acquisitions, Asian Bank used up around 40 basis points. But you can see here in the fourth quarter our capital ratio is built up by 22 basis points in one quarter, when the loan growth was little bit slower. It's something that we will continue to work on.
Lana Chan: Okay. Thanks, Heng.
Heng Chen: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Julianna Balicka with KBW. You may proceed.
Julianna Balicka: Hi, I have two quick follow-ups, please. Heng, I'm sorry, I didn't quite catch your remarks about the tax rate credits. You mentioned amortization that we should be seeing in 2014, but what is the underlying lower tax rate? And B, what would be the restructuring charges related to the Bank Asia deal?
Heng Chen: Okay. So, on the tax credit, I think if you compare the tax rate ranges versus where our fourth quarter effective tax rate is and factor in the amortization, you can come up with a EPS number, which is the -- it would just be math. And then the restructuring for Asia, we're still subject to change, but we have to buy out their data processing contract that cost about 800,000 there's some severance for transitional personnel that -- so, as an estimate, it's probably 1.5 million pretax to maybe 2 million.
Julianna Balicka: Thank you very much.
Heng Chen: Yes, thank you.
Operator: Our last question comes from the line of Matthew Clark with Sterne Agee. You may proceed. [Operator Instructions] Our last question comes from the line of Matthew Clark with Sterne Agee. You may proceed.
Matthew Clark: We'll try this again, can you hear me?
Heng Chen: Yes.
Dunson Cheng: Yes.
Matthew Clark: I'm sorry. Okay. Heng, maybe a little bit more on the margin. I think you talked about a couple of moving parts. But just wanted to make sure we're capturing all of it going into the first quarter and beyond. I think you talked about the maturation of those structured repos and the full quarter benefit adding about four basis points to the upcoming margin. I think fewer less days will likely help, too. Can you talk through the margin here in the upcoming quarter a little bit more specifically? And then beyond that, thinking about again what the curve has done, I know you touched on some of that already. But trying to think about the hedges you have on and what that impact could be going forward.
Heng Chen: Yes, I think just the fact that February is the short month. It's a [inaudible] day month. So typically our margin goes up in the first quarter. And so, if we are at 3.36 in the fourth quarter, and just those maturities and the full quarter impact got four basis points we should get to 3.4%. So we've been trying to get there for several years. So I'm hopeful that we might there in the first quarter. And then, in terms of the hedges; our interest rate swap on our trust preferred, that's a cash flow hedge. So that was fully in place in Q3, and it doesn't have any incremental change to the margin. And we did add -- we had 140 million of fixed rate loans that we hedged into floating. In the fourth quarter, we added another 40 million to that. So the total of 181 million, but basically the full run rate there -- the cumulative sum of those two is probably six basis points and they are all in the margin run rate already. So in 2015, if -- and then lastly, one of the things is we have been sitting with 200 million of excess cash at the Fed, our goal is to run that down to about 50 million, which would be just what's in Hong Kong, in our Hong Kong branch. So that would help give some lift to the margin just because the owning asset base is lower. And so, right now in the first quarter we are basically [inaudible] where our cash at the Fed is down to -- where our interest-only cash is only 50 million. So I think generally our margin should improve in the first quarter, and then it should be steady during the year; and might even go up a little bit as we continue to put on loans and reduce our securities position.
Matthew Clark: Okay, that's helpful. Thank you. And then one more on expenses; you guys have done a great job in controlling expenses. It doesn't seem like that's going to change much. But can you offer any color on expenses around the DFAST process? I assume they're baked in the run rate already unless you've -- trying to get a sense for anything incremental here … 
Heng Chen: Yes. We did have some -- Kim, can correct me if I'm wrong, but I think we did extensive re-approach to our DFAST process to make it more statistical. And I believe the fourth quarter expenses in order of 300,000 or so, and then it's part of this process. And so that -- and we spent some additional amounts in the third quarter, but right now we believe we have transitioned to a more robust statistical model for DFAST. And in the first quarter we will have roughly -- one of the requirements is that there is an independent validation of the model process. And so we will have a similar expense of about 300,000 in Q1, but then hopefully it will just be maintenance going forward. So DFAST … 
Matthew Clark: Okay, thank you.
Heng Chen: Yes.
Operator: Thank you for your participation. I will now turn the call back over to Cathay General Bankcorp's management for any closing remarks.
Dunson Cheng: Thank you for joining us for this call, and we look forward to talking with you again at our next quarterly earnings release date. Thank you.